Operator: Ladies and gentlemen, thank you very much for standing by. And welcome to the Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given to you at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Craig Blunden. Please go ahead.
Craig Blunden: Thank you, Greg. Good morning, everyone. This is Craig Blunden, Chairman and CEO of Provident Financial Holdings. And on the call with me is Donavon Ternes, our President, Chief Operating and Chief Financial Officer. Before we begin, I have a brief administrative item to address. Our presentation today discusses the Company's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives or goals for future operations, products or services, forecasts of financial or other performance measures and statements about the Company's general outlook for economic and business conditions. We also may make forward-looking statements during the question-and-answer period following management's presentation. These forward-looking statements are subject a number of risks and uncertainties, and actual results may differ materially from those discussed today. Information on the risk factors that could cause actual results to differ from any forward-looking statement is available from the earnings release that was distributed earlier this morning, from the annual report on Form 10-K for the year ended June 30, 2017, and from the Form 10-Qs that are filed subsequent to the Form 10-K. Forward-looking statements are effective only as of the date they are made, and the Company assumes no obligation to update this information. To begin with, thank you for participating on our call. I hope that each of you has had an opportunity to review our earnings release, which describes our third quarter results. I'd like to begin this morning by highlighting the results in our community banking business. Over the course of the last year, our net interest margin expanded. Our loan growth has been consistent. Core deposits continue to grow, and credit quality remains strong. In the most recent quarter, the community banking staff originated $29 million of loans held for investment, an increase of $22 million in the prior sequential quarter. And single-family loans originated for portfolio from the mortgage banking division increased to $21 million in the March 2018 quarter from $12 million in the prior sequential quarter. During the quarter, we also experienced $43.2 million of loan principal payments and payoffs, which is down from the $57.4 million in the December 2017 quarter, but still tempering the growth rate of loans held for investment. Additionally, we estimate the decrease in the acceleration of amortization of net preferred loan costs associated with the lower payoffs in the March quarter in comparison to the average of the previous 5 quarters increased our net interest margin by approximately 4 basis points this quarter. For the 12 months ended March 31, 2018, loans held for investment increased by approximately 2%. And preferred loans, a component of loans held for investment, grew at a 3% rate. We're somewhat disappointed with this growth rate, but are unwilling to loosen our credit underwriting standards, which go against our credit culture. But we're encouraged by the outlook for single-family adjustable rate originations and purchase opportunities as a result of the rise in mortgage rates and believe it will result in future opportunities to accelerate the growth of our loan portfolio. We're very pleased with the credit quality, and you'll notice that early-stage delinquencies are approximately $160,000 at March 31, 2018, significantly lower than the December 2017 balance and very low from an entire credit cycle perspective. In fact, total criticized and classified assets remain at very low levels and are now just $11.9 million, which is down from the $18.7 million at March 31, 2017, a 36% decline over the course of the year. We experienced a small net charge-off of $39,000 during the quarter ended March 31, 2018, compared to a modest net recovery of $23,000 for the December 2017 quarter and a modest net charge-off of $145,000 during the September 2017 quarter. As a result of the very low early-stage delinquencies, the low level of criticized and classified assets and the modest net charge-offs, we recorded a $505,000 negative provision in the March 2018 quarter. We're pleased with these credit quality results. Our net interest margin expanded by 10 basis points for the 9 months ended March 31, 2018, compared to the same period last year as a result of a 9 basis point increase in the average yield of total interest-bearing assets and a two basis point decrease in the cost of interest-bearing liabilities. It should be noted that our deposit costs declined by 4 basis points in the 9 months ended March 31, 2018, compared to the same period last year. Over the course of the last year, we've been able to hold the line on the cost of core deposits while increasing the balance of core deposits and decreasing the balance of time deposits. You will note that we are still adjusting our mortgage banking business model to respond to a generally poor mortgage banking environment. We currently employ 200 FTE in mortgage banking, down from a 212 FTE employed on December 31, 2017. During the quarter, we reduced our origination staff by 6 professionals while our fulfillment staff also declined by 6 professionals. The adjustments are more pronounced on December 31, 2016, when we first started reducing our origination capacity commensurate with changes in market opportunities. Since then, our origination staff has declined by 30%, and our fulfillment staff has declined by 37% for a total reduction of 35% in the mortgage banking division. We, like our competitors, are responding to a less favorable environment by taking capacity out of our platform. It is unclear today when sufficient capacity will be removed from the industry to allow mortgage banking to return to more profitable operations. New application decreased in the March 2018 quarter from the prior sequential quarter. But based on current information, we would expect volumes in the June 2018 quarter to improve from current volumes as a result of the spring and summer buying season, although not to the same levels of the June 2017 quarter. The loan sale margin for the quarter ended March 31, 2018, improved from the prior sequential quarter and has climbed to the higher end of the range, but pricing pressure remains a concern throughout the industry. Market participants are pricing more aggressively in an effort to maintain market share. We will continue to adjust our business model and FTE count as we have done in the past, commensurate with changes in market opportunities and the mortgage banking operating environment. During the past 15 months, we have reduced capacity to more closely align to current opportunities in the market, which reflect an uptick in purchase money activity with a significant decline in refinance activity. We have reduced mortgage banking operating expenses by approximately 24% this quarter in comparison to the same quarter last year, a combination of fixed cost and variable cost savings. Additionally, we're in the process of converting to a new loan origination system that will be much more efficient for mortgage banking operation when fully implemented. The new system will allow us to move more quickly to a paperless environment and to streamline the application process in underwriting and funding functions for customers, third-party service providers and employees. We have converted all of our retail branches to the new system and our staff is gaining proficiency each day. But we have delayed the conversion of our wholesale branches until certain system upgrades have been tested and placed in production. As a result, we now expect to decommission our legacy solution by November 30, although many of the duplicative costs have already been eliminated. Our short-term strategy for balance sheet management is unchanged from last quarter. We believe that re-leveraging the balance sheet with prudent loan portfolio growth is the best course of action. For the foreseeable future, we believe that maintaining a significant cushion above the regulatory capital ratios of 8% for Tier 1 leverage and 13% for total risk base is wise, and we're confident we'll be able to do so. We currently exceed each of these ratios by a significant margin, demonstrating that we have the capital to execute on our business plan and capital management goals. Additionally, in the March 2018 quarter, we repurchased approximately 78,000 shares of our common stock, and we continue to believe that executing on stock repurchases is a wise use of capital in the current environment. Over the course of the past year, we've executed substantial returns of capital to shareholders in the form of cash dividends and stock repurchases. We encourage everyone to review our March 31 investor presentation posted on our website. You will find that we've included slides regarding financial metrics, community banking, mortgage banking, asset quality and capital management, which we believe will give you additional insight on our strong financial foundation supporting the future growth of the Company. We will now entertain any questions you may have regarding our financial results. Thank you. Greg?
Operator: [Operator Instructions] Your first question comes from the line of Tim O'Brien from Sandler O'Neill.
Timothy O'Brien: First question. So it looks like on a sequential quarter basis, funding costs were relatively stable. Is that correct?
Craig Blunden: Yes, that's correct.
Timothy O'Brien: And then you had some pretty nice expansion in your loan yields sequentially. Can you give a little color on that?
Donavon Ternes: The color is that a large part of our portfolio adjusts in a year or less. And with short-term rates, particularly LIBOR moving up, which is the largest single index that we have with respect to our adjustable rate loans. With that moving up significantly, our loans were re-pricing upward. Additionally, we are finding that current interest rates are above where they were last quarter, so new origination is also additive to the loan yields. Depending, of course, on what the prepayments look like in any given period and what deferred loan costs may be attached to those prepayments.
Timothy O'Brien: And was there any prepayment income this quarter? Or can you compare this quarter relative to the last quarter? Or I don't know, interest recoveries or anything atypical that's not contractual?
Donavon Ternes: Yes. The deferred loan costs are -- the acceleration of those deferred loan costs attached to the prepayments were down in Q3 or the March quarter. There were approximately $120,000 for the quarter, which is a little bit below average in comparison to, for instance, the prior 5 quarters. And that contrasts with the December 31 quarter, where we had larger deferred loan costs accelerated as a result of payoffs to the tune of about $400,000 for that quarter. So we estimate that the swing in yield on loans, about 3 basis points more than average this quarter as a result of lower deferred costs. But last quarter, as a result of higher deferred costs, loan yields or actually net interest margin was down by approximately 7 basis points.
Timothy O'Brien: And you mentioned the trailing 5-quarter average. What was that average?
Donavon Ternes: We don't give it out, although you'd be able to see it in the average balance sheets when the Q comes out. There's a footnote, so it's going to be out in the next week or so. For the 9 months ending March 31, we had approximately $736,000 accelerated with respect to the loan fee or loan cost amortization. And that compares to $609,000 for the 9 months ending March 31 of '17, so over the course of a longer period of time such as 9 months that I'd just described, it all kind of smooths out. But it can be a little bit bumpy from 1 quarter to the next.
Timothy O'Brien: That's -- I can work with that. And then are you -- that cost to deposit situation was a real positive this quarter. Do you -- are you seeing signs of pressure like other banks are seeing on deposit costs here looking forward qualitatively? Can you give us some qualitative color on that?
Craig Blunden: Sure, there's no doubt about it. There's a number of institutions in our marketplace that have been aggressive in chasing deposits, even with some large ads in the local newspaper. They are paying significantly higher rates than we are for the same terms or money market. So yes, there is additional pressure. One or two of them, although have done very aggressive for quite a while, so this isn't exactly new. And for the most part, we've been able to hold in our customers here, but with very few closings because of other competitors' rates. But it's going to continue to put pressure on our raising rates eventually.
Donavon Ternes: The other thing to think about, if you look at what our capacity is with respect to noncore funding sources, we had very little in the way of broker deposits. So that's an avenue we could use if we don't wish to sensitize our current deposit base. We also have a great deal of capacity with Federal Home Loan Bank of San Francisco from a wholesale borrowing perspective. We like those advances to -- for interest rate risk purposes anyway, so that's another source of wholesale funding that won't sensitize our deposit base. And so we have some levers we can pull strategically, because I do think there will be continued deposit pressure, as Craig mentioned, and we are seeing it keyed up a bit more. While there have been 2 or 3 that had been high paying for some time, there are now more that are high paying in our markets.
Timothy O'Brien: Great color. Would you guys lock in any rates maybe through some term funding? Like you kind of alluded to? Is that...
Donavon Ternes: Yes. That's absolutely on the table, but that's a function of what our growth rates are with respect to the loan portfolios. And that's obviously something we're going to be using from the standpoint of interest rate risk management.
Timothy O'Brien: And then last question, just shifting gears over to mortgage, real quickly. It looked like if I'm seeing it correct, your gain on sale margin was surprisingly strong, remarkably strong. Can you give a little color on why -- how you were -- we see -- we saw other data points in the marketplace that weren't so favorable, and management talked about more aggressive pricing pressure and -- which caused pressure on gain on sale margins. How are you guys able to maybe buck some market trends there?
Donavon Ternes: Well, it's not easy. It's a function of disciplined pricing. I suppose a fair question would be, are we giving up some volume as a result of holding our loan sale margins where they are. And a fair answer is probably some, but it's very difficult when you start playing the pricing game and reducing margins far below where they absolutely, where they should be, to make up in volume. And so we are disciplined relatively about that practice, although clearly, loan sale margins are going to continue to be under pressure as we think about calendar '18.
Operator: [Operator Instructions] And at this time, there are no further questions.
Craig Blunden: All right. If there's no further questions, I'd like to thank everyone for joining our conference call. And we look forward to speaking to you next quarter. Thank you.
Operator: Ladies and gentlemen, this conference will be available for replay after 11 AM Pacific time through May 3rd. You may access the AT&T Teleconference replay system at any time by dialing 1-800-475-6701 and entering the access code 447812. Those numbers once again are 1-800-475-6701 with the access code 447812. That does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.